Ryuichi Isaka: Good afternoon, everyone. My name is Isaka, President and Representative Director of Seven & i Holdings. Thank you all for your continued support for the Seven & i Group's corporate activities and for participating in today's financial results presentation for fiscal year 2022. Allow me to begin today's presentation. 
 Let us start on Slide 2. As previously discussed, the new Board of Directors has executed several key initiatives toward enhancing governance and accelerating growth. Our group has continuously engaged with our shareholders and its diverse stakeholders' base through constructive dialogue, and we continue to engage in serious discussions to achieve sustainable growth and mid- to long-term corporate value enhancement of the group.
 Additionally, under our management policy focused on our transformation into a global retail group with the convenience store business at its core, we steadily took concrete action toward optimizing our operations by carrying out strategic investments in the convenience store business and reviewing our business portfolio. 
 As a preparatory foundation for growth in the global convenience store business going forward, we acquired Speedway in 2021. And before that, Sunoco in 2018. We have also decided on additional strategic investments in the Vietnam business. 
 Additionally, we completed the divestiture of OSHMAN’'S Japan Company Limited in 2022, Francfranc in 2021 and announced the sale of Sogo & Seibu in 2022. As you can see, we are steadily executing measures towards the divestiture of our non-core businesses and the review of our business portfolio. 
 Furthermore, as announced today, we have additionally decided on the realignment of the financial services and the divestiture of Barneys Japan. 
 At last year's Annual Shareholders' Meeting, the group transformed its Board of Directors and executed a group strategy reevaluation. The Board unanimously supports this strategy that we announced on March 9, along with the establishment of the Strategy Committee. We appointed 6 new outside directors at the Annual Shareholders Meeting held in May 2022. In doing this, we revamped our governance structure with outside directors now holding a majority of seats on the Board.
 Under our strategy of becoming a global retail group with food at its core, we have decided to focus on the growth strategy for the global convenience store businesses and of the execution of drastic transformation within the superstore business. We are, therefore, accelerating our group growth strategy focusing on food as a strength, representing a key source of competitive advantage for us through the Strategy Committee, which exclusively comprises 8 outside directors. 
 The Board of Directors will continue carrying out to the objective analysis and review of optimal group structure and strategic alternatives. At the fiscal year 2023 Annual Shareholders Meeting, we plan to put forward proposals for additional transformation of the Board of Directors in order to further accelerate our global growth strategy. 
 This slide contains a message from the outside directors of Seven & i Holdings, reaffirming the announcement made by the company on March 9 regarding the company's group strategy reevaluation. The Board of Directors confirms that this was a unanimous decision following discussions from varied perspectives and in a holistic manner. We also invite you to review the document we released on Tokyo Stock Exchange at 3 p.m. today, which was announced by our 8 outside directors. 
 Slide 4 contains the executive summary of fiscal year 2022 ending February 28, 2023 and to the summary of the forecasts for fiscal year 2023, ending February 29, 2024. Consolidated revenues from operations and income at each level in fiscal year 2022 exceeded the forecast even after 3 upward revisions and achieved record highs. 
 In fiscal year 2022, while rising energy costs had a negative impact on each operating business, we were nevertheless able to absorb these costs and achieve the targets. On the other hand, in fiscal year 2023, we expect continued rises in energy and personnel costs. As such, we are forecasting a very challenging business environment. Against the backdrop of our group's aim of becoming a world-class retail group with a focus on food, as discussed in our presentation carried out on March 9, fiscal year 2023 is positioned as the year of making strategic upfront expenditures in order to achieve the goals of the updated medium-term management plan and solidify subsequent growth. 
 Additionally, later on, I will be discussing the integration of retail and finance strategies centered on 7iD, something which is only possible, thanks to the nature and component parts of the Seven & i Group. I will be discussing the review of the business portfolio toward enhancing the group's corporate value as well as the group's shareholder returns policy, incorporating the expansion of shareholder returns. 
 Slide 5 contains today's agenda. CFO, Maruyama, will first be going over the fiscal year 2022 results and the fiscal year 2023 forecast. Following this, I will discuss the group's management strategies and the details of major operation strategies. 
 Allow me to yield the floor to CFO, Maruyama. 
Yoshimichi Maruyama: Good afternoon, everyone. I'm Maruyama, Director and Managing Executive Officer at Seven & i Holdings. First, are the fiscal year 2022 results on Slide 7. Revenues from operations stood at JPY 11 trillion and JPY 811.3 billion, corresponding to 135.0% of last fiscal year's results, and 122.4% of the initial plan. Operating income stood at JPY 506.5 billion, corresponding to 130.7% of last fiscal year's results, and 117.8% of the initial plan. Net income attributable to owners of parent stood at JPY 280.9 billion corresponding to 133.2% (sic) [ 133.3% ] of last fiscal year's results and 117.1% of the initial plan. These results represent an increase in revenue and income and a record performance. EPS and EBITDA, too, delivered year-on-year growth and exceeded the initial forecast. 
 Furthermore, of the year-on-year increase of JPY 118.8 billion in operating income, a weaker yen accounted for JPY 47.5 billion. 
 Slide 8 contains the results for revenues from operations, operating income and EBITDA on a per segment basis. The domestic and overseas convenience store operations drove record profits. Regarding 7-Eleven Japan, record high performance, with sales floor operations at stores synergized well and with the execution of event fairs throughout the year with good reputation corresponding merchandise development associated with these. The domestic convenience store operations delivered results corresponding to 102.0% of last fiscal year in terms of revenues from operations and 103.9% in terms of operating income. 
 Regarding 7-Eleven, Inc., it acquired Speedway in May 2021. Consequently, Speedway only made a 7.5 month contribution in that fiscal year, whereas for fiscal year 2022, the contribution was for the full year. Additionally, the synergy effects from the integration of Speedway have exceeded expectations. And furthermore, fuel cents per gallon remained at high levels. These factors led to strong growth. 
 The overseas convenience store operations delivered results corresponding to 170.3% of last fiscal year in terms of revenues from operations and 181.2% in terms of operating income. EBITDA in the domestic convenience store operations corresponded to 104.4% of the previous fiscal year and grew significantly in the overseas convenience store operations corresponding to 166.9%. 
 On the other hand, the superstore operations experienced a decrease in stay-at-home demand which it had registered during the COVID-19 pandemic, meaning that operating income results corresponded to 64.4% of the previous fiscal year, reflecting a challenging business environment.
 Additionally, the main reason behind the large year-on-year variance in revenues from operations in the superstore operations and department and specialty store operations is the introduction of the new revenue recognition standard starting in fiscal year 2022. For more information, please refer to Slide 43 in the appendix. 
 Slide 9 contains the results for the consolidated financial KPIs for fiscal year 2022. In terms of quantitative indicators, cash-generating capabilities have increased for the domestic and overseas convenience store operations and both EBITDA and operating cash flow significantly exceeded the initial plan free cash flow too has increased significantly as in light of the economic environment, we focused on improving investment efficiency.
 Additionally, in terms of the qualitative indicators of ROE and ROIC, while these exceeded the initial plan in order to realize further improvements, we are working to improve profitability at existing stores and investment decisions incorporating a risk-return analysis. 
 Furthermore, while debt-to-EBITDA, which is an indicator representing financial integrity, slightly exceeded the initial plan. The initial plan was premised on the execution of an early redemption option regarding a portion of the debt incurred in the acquisition of Speedway by 7-Eleven, Inc. However, in light of interest rate hikes in the United States, we did not execute this option and we'll be carrying out repayments according to the original time line. In light of this, the debt-to-EBITDA ratio as of the end of the fiscal year, slightly exceeded the initial plan. But in reality, as of the end of February, it was actually lower.
 Lastly, we continue working toward promoting a strategy premised on the results of the reevaluation of our group strategy as announced on March 9, and towards achieving the financial KPIs within the updated medium-term management plan. 
 Next, I will be discussing the fiscal year 2023 forecasts. Before delivering the fiscal year 2023 forecasts, allow me to discuss a variety of external factors that affect our businesses in Japan, while we expect certain positive effects such as a recovery in traffic due to the end of COVID-19. On the other hand, we also expect an increase in energy and personnel costs as well as consumers less likely to consume in light of falling inflation-adjusted disposable incomes and uncertainty about the future in the United States, while we will be keeping a close eye on moves by OPEC we expect a recovery in consumer confidence due to lower fuel prices. On the other hand, there are fears of a recession in the United States in the second half of the fiscal year. So there remains a level of uncertainty.
 Additionally, fuel cents per gallon stood at record levels in fiscal year 2022. And while we expect levels higher than pre-COVID-19 to remain in play, we expect a decrease in the fiscal year 2023.
 Taking all of these factors into account we believe the fiscal year 2023 will be characterized by a very challenging business environment. The fiscal year 2023 forecast, starting on Slide 12, is therefore, premised on these factors I just discussed. 
 Slide 12 contains the fiscal year 2023 consolidated financial forecasts. As I mentioned just now, we believe fiscal year 2023 will be characterized by a challenging business environment. However, we also positioned this year as one of laying the groundwork for further group growth over a long-term horizon. We are, therefore, making steady progress in the execution of this strategy, we expect JPY 11.154 trillion in revenues from operations corresponding to 94.4% of the previous fiscal year's results. 
 Additionally, we expect JPY 513 billion in operating income corresponding to 101.3% of the previous fiscal year and JPY 285 billion in net income attributable to owners of parent corresponding to 101.4%. As such, while we expect a decrease in revenues from operations due to a decrease in fuel retail prices, we expect a year-on-year increase for each income line item. We also expect year-on-year increases in EPS and EBITDA. 
 In addition, the year-on-year increase of JPY 6.4 billion in operating income. Exchange rate impact accounted for minus JPY 1.4 billion. 
 Slide 13 contains the forecasts by operating segment. As I will be discussing later, starting in fiscal year 2023, we will be disclosing on a new segment basis. Regarding the business in North America in fiscal year 2023, while we expect merchandise sales at existing stores for 7-Eleven, Inc. to grow given our forecast of fuel retail prices lower than fiscal year 2022 levels, we expect a year-on-year decrease in revenues from operations for the overseas convenience store operations. With that being said, both in Japan and the United States, we will continue linking up merchandise development centered around food and sales promotion, primarily with the domestic and overseas convenience store operations driving operating income growth. As such, we expect to realize JPY 513 billion in operating income on a consolidated basis, up JPY 6.4 billion year-on-year. 
 Regarding EBITDA as well, we expect to realize JPY 1.010 trillion for a year-on-year increase of JPY 14.6 billion, allowing us to achieve the medium-term management plan target of JPY 1 trillion, 2 years ahead of schedule. 
 Slide 14 is about shareholder returns. We discussed this topic in the company's presentation announced on March 9, but allow me to go over our shareholder return policy and to discuss the year-end dividend for fiscal year 2022 and the dividend forecast for fiscal year 2023. 
 Regarding shareholder returns, we maintain our policy of stable and continuous improvement of dividends per share. And to this, we have newly added another target of a total shareholder return ratio of 50% or more. In fiscal year 2022, in celebration of the 50th anniversary of the founding of 7-Eleven Japan, in addition to a year-end dividend of JPY 53.5 per share, as announced, we have added a commemorative dividend of JPY 10 per share, bringing the total to JPY 63.5 per share. This is a year-on-year increase of JPY 11.5 per share and of JPY 13 per share on a full year basis. 
 Furthermore, even after distributing this commemorative dividend of JPY 10 per share in fiscal year 2022, we intend to maintain the forecast for fiscal year 2023 at JPY 113 per share. We will work toward growing cash flow, while at the same time focusing on growth investment in the domestic and overseas convenience store operations. We will continue focusing on the recovery of the company's financial integrity but we are also paying importance to balancing this with further improving shareholder returns, and we'll be carrying out capital reallocation initiatives to this end.
 This concludes my presentation. I will now be yielding the floor to Mr. Isaka, President and Representative Director, who will be discussing the management strategies. 
Ryuichi Isaka: This is Isaka speaking once again. I will now be discussing the group's management strategies. First, I would like to review some of the milestones between my becoming President of Seven & i Holdings in 2016 and the current year of 2023. Following my becoming President, the group released its first medium-term management plan. Against this backdrop, our policy was to focus management resources on the domestic and overseas convenience store operations as group growth pillars simultaneously, we also set in motion the structural reform of the general merchandise store business.
 In 2021, we formulated a group vision for the year 2030 as a long-term vision for the group and announced a 5-year medium-term management plan running through to fiscal year 2025 toward achieving our vision. 
 Furthermore, in April 2022, 1 year after the announcement of the medium-term management plan, we gave stakeholders a progress update and delivered a management message pertaining to our group's strategy going forward, addressing things we had identified as challenges and issues. More recently, on March 9 of this year, we announced the results of a group strategy reevaluation by our newly appointed Board members, and we additionally announced updates to the medium-term management plan.
 Since 2016, we have been faced with a number of challenges, such as the global COVID-19 pandemic, the conflict in Ukraine and issues related to 24-hour operations at our convenience stores in Japan. However, for each of these challenges, we were able to correctly assess the situation and choose the optimal way to deal with the issue, going over our course of action in the most transparent way possible.
 Additionally, we continued to hold the dialogue with shareholders and investors and took a proactive approach to discussions with the objective of continuously improving corporate value incorporating these in the formulation of our management policy. 
 The fiscal year 2025 medium-term management plan target for EBITDA is an increase of 87% or more from fiscal year 2016. Similarly, ROE stood at 4.1% in fiscal year 2016 and has since grown to 8.7% in fiscal year 2022 and we aim to further grow this number to 11.5% or more in fiscal year 2025. Going forward, we intend to continue dialogue with shareholders and investors and incorporate this feedback into initiatives toward further increasing our corporate value.
 In going over our group strategy, I would like to emphasize that food is the growth driver for our group. And the business we will be focusing on in terms of leveraging that strength is the convenience store operations.
 Slides 17 through 19 are taken from our presentation announced on March 9. The composition of our Board members underwent a transformation last year and carried out a reevaluation of our management policy and strategy. As a result, we are confident we can leverage our strength in terms of food, which we developed in Japan toward growth in the domestic convenience store operations. And furthermore, also in the convenience store operations in North America and globally, allowing us to become a world-class retail group. 
 What makes possible the positive consumer reaction to 7-Eleven Japan when it comes to food is the fact that we operate businesses like the superstore operations, which feature a very wide merchandise assortment. Going forward as Japan's population ages further, and we see greater female labor participation and an increase in single-person households, we believe this is a strength that will allow us to address these changes. 
 Enhancing our fresh food offerings positively impacts the daily average number of customers and customer traffic as observed in the market for convenience store business globally. The number of stores is proportional to the size of the circles shown in the graph with the horizontal axis showing the daily average for the number of customers and the vertical axis showing fresh food as a percentage of sales. I believe we can observe a positive correlation between the 2. 
 We are moving at tremendous speeds in putting in place in North America, 7-Eleven Japan's value chain, which we have grown as a result of our efforts to enhance fresh foods and we will be further expanding these efforts globally. 
 I will be going over actual expansion examples within the global convenience store business. Shown here is a review of the progress status of strategic initiatives. We continue our efforts toward closing the sale of Sogo and Seibu announced in November of last year by satisfying the prescribed conditions. We will be reporting to stakeholders once the sale is finalized. Today, we have signed an agreement for the sale of Barneys Japan.
 Additionally, as I will be discussing later on, in order to advance our financial services strategy, we have decided on the sale of Seven Card Service to Seven Bank. Going forward and toward achieving our group vision for 2030, we will continue carrying out selection and concentration in our businesses through the review of the business portfolio. 
 First, I will be discussing the reorganization of the group's financial services has decided today. In recent years, advances in technology have led to the emergence of many fintech companies in the domain of financial services. This has resulted in a diversification of the services offered and consequently, to a diversification of customer needs. Against this backdrop and in order to swiftly address the diverse needs of our customers, we have decided it is optimal to concentrate the group's financial services into Seven Bank to offer and expand financial services only possible by retail in a swift manner. 
 In light of this, we have decided on the sale of Seven Card Service, which is owned by our consolidated subsidiary of Seven Financial Service to our consolidated subsidiary of Seven Bank. Through this, the credit card and e-money businesses, which we had operated under Seven Card Service will now be transferred to Seven Bank. Going forward, the integration of these 2 companies will allow for the integration of the know-how and expertise obtained by both over the years. 
 Additionally, we will be leveraging 7iD, which is a unified membership platform within the group and offer new financial services only possible by a retail group in a swift manner.
 On Slide 22, we will be discussing enhancing customer relations through the integration of retail and financial services within our group. Within our group in order to further enhance our relationship with the customers that visit our 7-Eleven Japan and Ito-Yokado stores and other group stores, we have been integrating each operating company with apps centered around 7iD, which is the unified membership platform within the group. 
 We offer a variety of services and 7iD boosted approximately 28 million members as of the end of February. The app for 7NOW, which is a service offered by 7-Eleven Japan, will launch in August of this year, further enhancing linkage and integration with 7iD. 
 Additionally, this fall, the 7-Eleven app and Ito-Yokado's online supermarket service will be linked together through a seamless single sign-on system. As such, through 7iD, we will be further increasing points of contact between our group and our customers. 
 Our group has operated a financial services involving banking, credit card and e-money services. However, integrating retail and financial services through 7iD allows us to achieve further synergies. We have already begun linking up Seven Card and nanaco to 7iD, and we have further plans to start a service, linking up Seven Bank accounts with 7iD. 
 Furthermore, as I will be discussing later on, going forward, we will be leveraging these relationships we have built with customers through 7iD, also in the retail media business. Doing so allows us to make detailed and personalized offers to customers and develop new merchandise while simultaneously growing group revenues. 
 Within the promotion of integrated retail and finance strategies centered on 7iD, we believe we possess the strengths listed here. The first strength is the best customer base in Japan. In Japan, approximately 22.2 million customers visit our group stores every day. And as I mentioned earlier, approximately 28 million people are 7iD members. 7iD members represents approximately 25% of the population aged 15 or more in Japan. 
 And furthermore, 1 in 2 females in their 20s and 30s are 7iD members. We have the opportunity to interact very frequently with a large number of customers, and this allows us to deepen our relationship with customers. This allows us not just in the domain of retail but also of financial services to ascertain in a timely manner, our customers shifting and diverse needs, making it possible to offer a highly detailed and personalized services. We view this as a great strength.
 In terms of concrete future services, these include, for example, using 7iD data to streamline credit card applications and credit checks, offering preferential interest rates and credit lines. We, therefore, believe there is ample opportunity for us to create a service offering a card available to everyone and used by everyone on a daily basis. 
 Our second strength is attractive economic points of contact. Our group operates approximately 22,000 convenience stores and supermarkets in Japan. As such, within financial services, we do not have to rely on point competition as there is ample opportunity to provide other unique offerings such as merchandise made possible by the fact that we are a retail group. It is also possible to offer a credit card application and the start of use procedures in a streamlined and swift manner through the use of our ATMs. 
 Furthermore, earlier, I mentioned the use of 7iD in the retail media business. There are already examples of large global retailers leveraging the relationships built with customers through store and e-commerce points of contact in the advertisement business. One such company derived approximately JPY 360 billion in revenue from this. Our group possesses many points of contact with many customers as well as an extensive network of stores and is therefore comparable with the example I gave just now. As such, we strongly believe there is a strong opportunity in this domain. 
 Our groups third and fourth strengths are an overwhelming payment volume and the ownership of financial functions. Our group handles tremendous payment volumes. In total, approximately JPY 22 trillion centered around our assets in the forms of ATMs, credit cards, e-money, et cetera. The execution of the reorganization of the group's financial services centered around Seven Bank is an opportunity to promote in a swift manner, integrated retail and financial services strategy centered around 7iD. In doing so, we expect to be able to unlock a variety of synergies in retail and financial services. 
 This slide shows the aforementioned flow of money handled by our group. In total, approximately JPY 22 trillion. We welcome you to refer to this diagram at your convenience. 
 Slide 25 is the final slide dealing with integrated retail and finance strategies centered around 7iD. As I mentioned earlier, the flow of money handled by our group totals approximately JPY 22 trillion centered around our assets in the forms of ATMs, credit cards, e-money, et cetera. We will be leveraging this strength and the execution of the reorganization of the group's financial services centered around Seven Bank is an opportunity to promote in a swift manner, integrated retail and financial services strategy centered around 7iD. In doing so, we expect to be able to unlock a variety of synergies in retail and financial services. 
 Shown here are the factors we expect will translate into an increase in revenue in both the domains of retail and financial services. As shown in the first text bubble, by leveraging 7iD in both the retail and financial services domain, we seek to further deepen our relationship with customers, making it possible to provide highly personalized offers and merchandise development. As such, we expect this to contribute to an improvement in revenue in the retail business. As shown in the second text bubble increasing the in-house payment ratio through an increase in the use of Seven Card and nanaco allows us to reduce commission fees paid to third parties and allocate the costs saved to marketing resources. As shown in the third text bubble, through the current reorganization, we hope to see increased external use of Seven & i payments by increasing the attractiveness of 7iD outside the group. 
 Furthermore, as shown in the fourth text bubble, through the execution of these initiatives, we seek to further deepen our relationship with customers. And in doing so, make it possible to provide attractive financial services offered only by retail operators. 
 Lastly, by also leveraging the customer base and relationships we cultivated through 7iD in the retail media business, we seek to provide personalized offers to customers and merchandise development while at the same time, increasing group revenue.
 Following the reevaluation of our group strategy, we formulated the following vision for the group. A world-class retail group centered around its food that leads to retail innovation and through global growth strategies centered on the 7-Eleven business and proactive utilization of technology. Towards achieving this goal, we continue carrying out a review of our portfolio. Against this backdrop in fiscal year 2023, companies which previously belonged to the department and specialty store operations have now been moved to the segment of others. 
 I would now like to discuss the details of major operation strategies. I will be discussing growth in 7-Eleven Japan's existing business. Regarding existing businesses, we seek to implement optimal store opening according to the characteristics of each area and carry out sales activities integrating and linking up the merchandise, sales promotions and sales floors. Through these, we seek to raise average daily sales and gross profit margin through the development of high value-added merchandise, striking the right balance between these 2, allowing us to deliver further growth. 
 In terms of store strategy, there is a positive correlation between the store number share and average daily sales. We believe there is still potential for further growth in Japan in terms of new store openings and the revitalization of existing stores. More specifically, we believe there remain areas we can proactively open new stores in, areas we can focus on revitalizing the existing stores and areas in which we can realize growth at the individual store level. We seek to correctly ascertain the challenges and issues facing each region, constructing a store opening model capable of addressing these and advance a sophisticated store strategy, allowing us to further improve profitability.
 Regarding the development of merchandise, leveraging our strength in the domain of food, we will be enhancing the development of new merchandise for local production for local consumption and with a theme of health and environmental considerations. Through coordination with sales promotions for original fairs and other initiatives, we seek to grow average daily sales and gross profit margin by 2% and 0.2 percentage points every year. 
 We will continue working to deliver growth in existing businesses, while at the same time, accelerating growth through new businesses, leveraging 7NOW and retail media. Through this, we are aiming to grow operating income to approximately JPY 300 billion by fiscal year 2025, and nurture a business capable of making a significant contribution to growth following this period. 
 Starting on Slide 30, I will be discussing the global convenience store operations. By fiscal year 2025, we seek to have a store network of over 50,000 stores outside of Japan and North America. Additionally, by fiscal year 2030, we seek to have a presence in 30 countries and regions. 
 On March 9, as part of a new development within our global strategy, we announced the decision to carry out strategic investment in Vietnam. I will be discussing the Vietnam business on the next slide. Going forward, Vietnam is expected to deliver both economic and population growth. Through strategic investments and loans to licensees and personnel exchange including the dispatch of management and employees to the country, we seek to pass on the expertise we have cultivated through the operation of the convenience store business in Japan and the United States.
 Additionally, Japanese manufacturing partners can contribute to the construction of the value chain in the region, including the construction of plants, and we can accelerate new store openings. The number of stores as of fiscal year 2022 stood at 79, which we aim to raise this number to 500 by fiscal year 2028. We intend to use our initiatives in Vietnam as a model case which we can leverage in expanding to other countries and regions. 
 Next, I will be discussing the growth strategy for 7-Eleven, Inc. As announced on March 9, the growth strategies for 7-Eleven, Inc. are centered around food as well. The 4 strategies are as follows: enhancing proprietary merchandise, accelerating digitalization and expanding the delivery business, the creation of integration synergies between 7-Eleven, Inc. and Speedway and business expansion through M&A and new store openings. As shown on the graph on the left and resulting from the enhancement of proprietary merchandise, the expansion of 7NOW delivery and the creation of synergies with Speedway, merchandise as a percentage of gross profit has increased. By increasing the percentage of merchandise to gross profit, we seek to increase average per store day by 12% between fiscal year 2022 and 2025 and improved profitability by raising gross profit margin by 100 basis points or more. 
 The green bar graph on the left shows the fuel sales volume per store with the red line representing the quarterly trend in cents per gallon with 2019 pre-COVID-19 as the starting year. Regarding the graph on the right, the green line represents the retail price of fuel with the gray line showing CPI year-on-year growth. The vertical bars in orange represent the fuel gross profit amount. The outbreak of COVID-19 in 2020 led to a decrease in footfall and consequently to lower fuel sales. Since per gallon on the other hand, increased and remains at elevated levels due to higher inflation levels starting in fiscal year 2021 and beyond. As a result of the COVID-19 pandemic, the business model for the fuel business changed significantly as despite a decrease in fuel sales volume, the increase in cents per gallon allowed us to secure fuel gross profit. Cents per gallon was particularly high in fiscal year 2022. In light of this, as shown by the vertical bar graph on the right, despite a decrease in fuel sales volume, an increase in cents per gallon. It translated into a significant improvement in fuel gross profit.
 While we expect cents per gallon to continue exceeding pre-COVID-19 levels in fiscal year 2023, we do expect it to drop somewhat from last fiscal year's record highs. As such, we are forecasting a decrease in gross profit from fuel in fiscal year 2023. 
 Slide 34 shows the trend in overall selling, general and administrative expenses and in EBITDA for 7-Eleven, Inc. through to fiscal year 2025. The vertical bar graph on the left shows the trend in selling, general and administrative expenses with the figures from the initial medium-term management plan represented by the gray bars and the updated figures by the orange bars. The red lines show the ratio of selling, general and administrative expenses to gross profit with the dotted line representing the figures for the initial plan and the continuous line the figures after the revision. 
 Initially, we hadn't incorporated inflation in the United States and selling, general and administrative expenses increased. However, we carried out strict cost management through initiatives by the cost leadership committee, et cetera, so we expect to greatly improve the ratio of selling, general and administrative expenses to gross profit. 
 The graph on the right shows the trend in EBITDA with the figures from the initial medium-term management plan represented by the gray bars and the updated figures by the green bars. EBITDA has greatly exceeded the initial plan, underscoring how our earnings power has further increased. 
 Regarding the drastic transformation and growth strategies for the superstore operations, we have announced the execution of 4 strategies within 3 years. Additionally, we will be carrying out strict process management through the help of outside experts who have committed to the full completion of these initiatives and to process management.
 Furthermore, we ensure transparency by putting in place a monitoring structure consisting of Seven & i Holdings Board of Directors and to the Strategy Committee consisting of independent outside directors as well as planning to report our progress to shareholders. First, we have started initiatives to transform the business structure so that by fiscal year 2025, we can achieve an EBITDA of JPY 55 billion and 4% or more of ROIC for the superstore operations in the Tokyo Metropolitan area. 
 Here is an example of a positive effect we expect from the aforementioned monitoring structure and 4 initiatives. By putting in place infrastructure like our central kitchen initiative, we expect to be able to frequently launch new and high-quality prepared foods. We expect this to translate into realized sales potential and a positive effect to the top line.
 Furthermore, by increasing the prepared foods as a percentage of overall sales, we will be realizing an improvement in overall gross profit margins. 
 Regarding Ito-Yokado stores, we will be focusing on the Tokyo Metropolitan area and exiting our directly operated business of apparel to focus on food. At the same time, we will be carrying out personnel optimization and improving productivity through operational improvements. Through these, we seek to reduce SG&A expenses. 
 In terms of concrete effects, we intend to increase sales per square meter while improving labor's share to 31.5%, as shown on the graph on the right at the top. Additionally, in terms of asset reduction, we will be focusing stores on the Tokyo Metropolitan area and closing unprofitable stores. 
 Furthermore, we will be exiting our directly operated business of apparel. And doing so will allow us to reduce invested capital contributing to an improvement in ROIC. 
 We have already started initiatives to improve sales and gross profit margin while reducing SG&A expenses. This will allow us to increase EBITDA and steadily improve our earnings power. 
 Lastly, this transformation project and monitoring by the Strategy Committee have already started so we would like to give stakeholders a more concrete overview of things in the financial results presentation for the second quarter. 
 Lastly, Slide 37 contains the consolidated financial KPIs for fiscal year 2023. We are forecasting JPY 1.010 trillion in EBITDA in fiscal year 2023, allowing us to achieve the target for fiscal year 2025 in the initial medium-term management plan 2 years ahead of schedule. We expect ROE and ROIC to fall short of the initial forecast due to a weaker yen. However, net income has grown steadily. Additionally, the debt-to-EBITDA ratio is gradually decreasing as we continue the repayment of debt as planned. 
 The group will be working as a cohesive unit and executing the strategies toward achieving the target for fiscal year 2025 within the updated medium-term management plan. As such, we request your continued support and understanding. 
 This concludes my presentation.
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]